Thomas Heath: Thank you, Operator, and welcome everyone to this Q1 Earnings Call with Sinch AB. My name is Thomas Heath, I'm Chief Strategy Officer. And with me today, I have our CEO, Laurinda Pang; and our CFO, Roshan Saldanha. This time we're also joined by Sean O'Neal, our Chief Product Officer, who will share some of our plans around the portfolio. And with these opening remarks, I want to turn the work over to Laurinda.
Laurinda Pang: Thank you, Thomas, and welcome to everyone on the call today. Let's quickly review slide two. Sinch is pioneering the way the world communicates. Our scalable cloud communications platform comprises assets that cross all channels including messaging, email, and voice. With over 150,000 customers around the world, during the past 12 months we have enabled more than 800 billion customer interactions and we have generated SEK 28.6 billion in net sales, SEK 9.6 billion in gross profit and SEK 3.6 billion in adjusted EBITDA. Slide three, please. We are executing against our expectations. During the first quarter, gross margins rose due to a shift in our product mix as our higher-margin products continue to show healthy growth rates. In Q1, gross margins were 34% compared to 32.6% last year. Our EBITDA and adjusted EBITDA margins remain stable at 11% and 12% respectively. A net debt to adjusted EBITDA was two times for the quarter after paying down SEK 215 million in debt. Operating cash flow was strong at SEK 553 million in the quarter. Cash conversion for the last 12 months was 42% which is well within our target range of 40% to 50%. Organic gross profit growth came in at 3% roughly in line with our expectations, but below our long-term aspirations which brings me to Sinch's growth acceleration agenda. You know we launched the new operating structure January 1st and have organized our work in three areas. Go-to-market transformation, product integration, and operational excellence, you'll hear more about progress in each of these areas, but I would highlight that we have committed to SEK 300 million in gross savings in OpEx on a run-rate basis by the end of 2024. This is progressing well and according to plan. We also said we would incur SEK 300 million in integration and restructuring costs in 2024. During the first quarter, we booked SEK 67 million in costs of which SEK 18 million was due to restructuring. As we've said previously, we expect to reinvest these savings into initiatives that accelerate our growth. Turn to slide four, please. Effective January 1st, we now operate the business on a regional basis, and for our reporting segments reflect this change. We recognize this will take some time for everyone to adjust and hope you were able to listen to the call with Roshan and Thomas on April 16th, where they walk through the translations from the old to new segments. Americas led by Julia Fraser is our largest region. It comprises North America and Latin America and in 2023 generated 63% of our gross profit. EMEA is led by Nicklas Molin, and in 2023 the EMEA region generated 22% of Sinch's gross profit. Finally, APAC which is led by Wendy Johnstone generated 15% of our gross profits in 2023. Complementing the segments, we are also providing visibility into our three product categories. API platform, applications, and network connectivity made up 55%, 22%, and 23% respectively of our gross profit in 2023. In a moment, I will ask Sean O'Neal, our Chief Product Officer to provide more detailed insight into what each of these categories mean for Sinch and our customers. At the highest of levels creating a single global product organization has allowed us for the first time to establish a holistic Sinch product strategy. Finally, we are reporting adjusted OpEx by function. In 2023, 49% of our OpEx was spent on R&D, 29% on sales and marketing, and 22% on G&A. Next slide, please. In the first quarter, organic gross profit grew in the Americas by 4% year-over-year driven by strong performance and applications growth of 12% and API platform growth of 16%. Network connectivity gross profit declined year-over-year by 19% due to 8YY reform, lower carrier demand invoice, and increased network costs. Next, EMEA's gross profit on an organic basis was down 5% year-over-year driven by a 15% decline in API platform mostly due to SMS as we stepped away from some high-volume fixed-price contracts. On the other hand, EMEA, application grew 10% in the quarter and network connectivity grew 27% on a relatively small base. In AsiaPAC, we had a strong quarter with 9% gross profit growth on a constant currency basis. This was primarily driven by applications growth of 7% and API platform growth of 10% year-over-year. As you've heard us say previously, we're excited by and have been [technical difficulty] for some time. On slide six, I'll bring forth another customer use case we just published in Q1. Shown on this slide is a campaign run by Micromania-Zing who retails video games. They have seen some tremendous results when using our RCS products to drive customer engagement. RCS delivered an 86% higher read rate compared to newsletters and a 120% higher redirection rate to Micromania's website compared to Rich SMS which is a product that combines SMS with a link to a landing page. The campaign was run in France which is a leader in RCS adoption due to the high proportion of Android smartphones amongst consumers. We continue to see growing interest in RCS not least in the Americas and are readying our teams and systems for an expected increase in late 2024 and future years. Before I invite Sean to share more details on our new product framework and categories, let's look at slide seven. We have shown healthy gross profit growth in both our applications and API platform offerings. On a constant currency basis, gross profit has grown by 11% in applications and 8% in API platform. Collectively, they now contribute 80% of Sinch's gross profit whereas last year they were 75% of gross profit. At the same time, the network connectivity category has declined by 15%. Roshan will cover this in more detail, but with these insights we are being more intentional in how we allocate resources to manage both the opportunities for growth, as well as, how we optimize parts of the business that are under structural pressures. Slide eight, please. I'm really pleased to introduce Sean O'Neal to you. With over 30 years of cloud marketing and communications experience in markets ranging from Silicon Valley, New York to London, Sean joined Sinch in late 2022 to lead the former SMB business unit. You've seen the very strong performance of that business unit throughout 2023 under his leadership. Sean is a strategist, a strong collaborator and has been working on integrating various product offerings in our SaaS portfolio. I'm so pleased he is now leading our global product organization as Chief Product Officer as of January 1st this year. Now, I'd like to ask Sean to share his thoughts.
Sean O'Neal: Thank you, Laurinda. It's a pleasure to join you today to discuss our product portfolio and some of the progress we're making to deliver even more value for our customers. Moving on, please. So, let's go to slide 10 here. Slide 10, shows our updated product categories. Our largest offering which contributes more than half of our overall gross profit is our API platform. These products enable businesses to draw on the full capabilities of our customer communications cloud with just a few lines of code and trigger digital communications from their own business processes and workflows. It's designed for ease of use and built for scale, offering truly global reach with a wide breadth of communications channels. These product strengths have earned us the trust of some of the world's largest and most demanding companies who all rely on our platform to deliver mobile messages, connect voice calls, and send email. Now built upon the API platform is our applications offering. Just like the API platform, these products enable businesses to deliver personalized communications at scale using the channels that their customers use and love. But where the API platform caters to developers, our applications are targeted directly to the end business users. We know that efficient digital communications are critical to deliver a great customer experience and our applications offering allows us to expose our breadth of communications to a much broader set of customers. I'll talk more about our applications in a moment, but I first want to introduce you to our third product category which is network connectivity. Unlike our other products, this offering specifically targets telecom operators with voice and SMS interconnection services and software. Since these products are in a more mature stage of the product life cycle, we need to manage them differently and place more emphasis on profitability and cash generation. The largest part of the offering relates to voice interconnect in North America where we operate the largest independent voice network in the United States and carry more than 300 billion voice minutes per year. Now let's turn to slide 11 to give a little bit more color around how we will market these product sets. As you know, the Sinch that we are today builds on the legacy of multiple acquired businesses that were all tremendously successful in their own fields. This background of specialization means we have tremendous depth both in terms of knowledge and capabilities in each of the main communication channels that businesses use to communicate with their customers. We own our full tech stack across messaging, voice, and email and have hundreds of direct carrier connections that improve our delivery, quality, and unit economics. However, we can do much more to showcase the breadth of our offering to our customers. We know that our customers would like to buy more than one product from us and there are ways to make it easier for them to do so. So, our new product categorization accomplishes this by focusing on our customers and their different characteristics rather than on the specific channels they consume. And to make them a little more appealing from our customer's perspective, we're introducing some new brand concepts as we unify the product portfolio. So, our network connectivity offering will be branded Sinch Connect. We're offering components and services that allow other businesses to build -- Sinch Connect is a name that captures the essence of our offering to telecom operators. In the middle is our API platform which is used by developers. This will be branded Sinch Build. Now we're offering components and services that allow other businesses to build great products of their own and to build strong relationships with their customers. And at the top for our applications, we will use Sinch Engage, which is a brand that we already today use for certain products. And collectively, these three parts together form our customer communications cloud. Now let's turn to slide 12 where I want to share how we are progressing with product integration within our applications portfolio. And as you're aware, integration of our products is a strategic priority and a key component of our overall growth acceleration plan. Now outlined in this slide are some of the software as service offerings that are included in the applications category. As you can see in today's report, these are very well-performing businesses with high growth rates and healthy margins. The largest revenue contributor is MessageMedia, which has a very strong position in Australia, New Zealand, and the US. It is particularly popular with mid-sized businesses who appreciate its ease of use and its many integrations with leading cloud-based CRM, e-commerce, and finance systems. Today, it's primarily used for SMS messaging with some 40,000 customers using the product and growing. Also focused on SMS is Simple Texting, a product targeted to smaller businesses in the US. It's highly automated and very easy to understand and use. It really showcases what product-led growth is all about. Now Simple Texting is often used for marketing, which is also why customers turn to our Mailjet product. You may recall that we have two email products, Mailgun and Mailjet, where the former is more focused on developers and is part of our API platform. Mailjet targets business users, specifically marketing teams, and offers a very capable yet straightforward interface to design and deliver great emails that render well on any device. And lastly, I want to call out Sinch Engage, our software focused on business messaging through chat apps like WhatsApp, Telegram, and Instagram. This is an area of great promise and potential, where we truly do pioneer the way the world communicates. And the feature set is particularly relevant now as RCS gains momentum and creates new interest in conversational messaging. We're very pleased with the performance of these products, both in terms of growth and profitability. That said, we think we can make our offering even more attractive by tying these products more closely together. For although there are differences, there are actually many more commonalities. These products all support use cases across marketing, operations, and customer care. They all help remove complexities from communications and they all benefit from the technological advancements that are now being unlocked by AI. And most importantly, they are all used to service customers in an environment that is increasingly omni-channel. Now let's turn to slide 13, which outlines our plans ahead as we look to further strengthen our application's offering and combine these capabilities. As shown on the slide, we will bring over the capabilities from Mailjet, Engage, and Simple Texting into the larger MessageMedia platform. This significantly expands the capabilities of the target platform and allows us to deliver even more value to our customers. The MessageMedia product will eventually be renamed Sinch Engage and be our lead SaaS product for multi-channel AI-powered customer engagement. Some of the existing products will be decommissioned once customers are migrated, while others will continue to be sold standalone. And importantly, we can still use a common and more cost-efficient technology stack across the application's portfolio. We're excited about the possibilities for cross-sales and upselling that this development effort will unlock. Products that are currently restricted to select geographies will now be offered worldwide, and current customers will see incremental benefit as we broaden and combine some truly best-of-breed products. And to maintain a positive customer experience, migration work happens in stages and follows a proven integration methodology. We first build to feature parity, then transition individual customer cohorts, and then using AB testing to validate performance. I look forward to briefing you again as we progress with these plans and create uniquely capable and highly differentiated offerings. And with those words, I want to hand it over to Roshan, who will guide us through this quarter's financials.
Roshan Saldanha: Thank you, Sean, a very good afternoon to all of you on the call. These product changes, which Sean just went through, that we are driving will definitely create a seamless customer experience, enabling use of multiple channels to drive enterprise value. Let's move to page 15, where we reiterate the most important changes reporting from the first quarter of 2024. These changes were communicated on 16th of April and are necessitated by our new operating model that we announced in October of 2023. As of Jan 1st, this year, we are operating our business as one unified company. We will report net sales and gross profit according to our regional structure with three operating segments, Americas, EMEA, and APAC. In addition to our operating segments, we will provide financial performance by the three product categories of applications, API platform, and network connectivity that Sean referred to in his presentation. In addition, we are providing additional information about our overall group operating expenditures in three distinct categories, sales and marketing expenses, research and development expenses, and general and administrative expenses. Please turn to slide 16, where you see a transition from our previous to our new operating segments. This is the same slide that we shared a few weeks ago, and Laurinda and Sean have just reviewed the regions and product categories in greater detail. Let's move on to page 17. I will now take you through the key financials for the fourth quarter. Net sales declined by 2% over last year, both reported and in organic terms. Revenues in both the Americas and EMEA regions declined, whereas APAC revenues grew by 13% in the quarter. Reduced revenues from the 8YY toll-free reform affected the network connectivity product category in the Americas region by about SEK 37 million. Within network connectivity, sales to operators of voice products have seen continued decline in volume as observed during last year. The decline compared to Q4 is due to seasonal effects. In Q4, revenues each year are boosted by marketing use cases. Page 18, please; gross profit increased 2% on a reported basis to SEK 2.3 billion Swedish. Organic growth in gross profit for Q1 was at 3%, on the back of an organic growth of 4% in the previous quarters. The Americas region grew gross profit at 4% year-on-year, EMEA was down 5%, and APAC up 9%. We see increased demand from small and medium enterprise business users for our applications products. Since these products have an inherently higher gross margin structure, they are driving strong gross profit growth across the regions. In addition, enterprise users are also driving demand for our API platform products. On page 19, we will now discuss the drivers behind decline in gross profit from network connectivity. Gross profit within network connectivity is impacted negatively by 34 million due to the 8YY toll-free reform, as we have previously informed. The reductions contemplated by the reform were completed as at 1st of August 2023, but they continue to cause year-on-year headwinds for a 12-month period thereafter. In addition, increased charges by operators for voice connectivity services in the US are a drag on gross profit growth in the quarter by 35 million, and this will be a continued effect during the coming quarters. These cost increases cannot be completely passed through to customers due to fixed-price contracts. We are reducing the reliance on legacy connectivity through service virtualization, but the cost pressures outpace these efforts. Finally, we see that reduced demand from operators and currency movements contribute 13 million to the decline as well. Turning to page 20, this slide shows gross and EBITDA margin development for the business. Gross margin stability in our product categories shows the strength in our product and pricing proposition towards customers. We believe that we can improve this over time as higher-margin products are growing faster. On an aggregated basis, gross margins improved by a full 1.4% over last year, and were up 50 basis points sequentially over the previous quarter. This change is driven by change in mix as the applications product category, which is higher gross margins, sees strong enterprise demand in all regions. The move away from fixed-price contracts reduced lower-margin revenues in the EMEA region, which also helped to aggregate the gross margin development. EBITDA margin is flat year-on-year and declines sequentially over a seasonally strong Q4. Operating expenses, excluding adjustment items, are flat over the previous quarter as sustained investment into our transformation programs continues through the quarter. However, the adjusted EBITDA margin is flat year-on-year, which, when coupled with the 2% decline in revenues, means that adjusted EBITDA declined this quarter to SEK 794 million from 834 million a year ago. In the prior year comparable period, we had reported a SEK 35 million one-time positive OpEx impact in our voice segment. Normalizing for this, adjusted EBITDA was flat on a year-on-year basis. In addition, we have previously informed about increased spend related to our transformation activities. To offset these increased investments, we are targeting SEK 300 million of analyzed gross savings to be reached by the end of 2024 as an exit run rate. On page 21, we show the strong free cash flow conversion from operating activities and after investments, which in the quarter was above our expected range at 53% from adjusted EBITDA. During the quarter, we used the cash generated from the business to repay SEK 615 million of debt, bringing the total repayment over the last 12 months to SEK 2.6 billion. In the graph to the right, we show cash conversion from adjusted EBITDA on a rolling 12-month basis. We have generated 1.5 billion over the past 12 months. Rolling 12-month cash conversion was at 42%, which is within our targeted range of 40 to 50%. We paid SEK 131 million in paid interest during the quarter, equating to an effective interest rate close to 6%. Interest paid during the quarter reduced compared to Q4 due to the successful continuous deleveraging. Please move on to page 22. Here we see the financial leverage ratio for Sinch, which is net debt over adjusted EBITDA. We are glad to report a continued deleveraging as expected with leverage now down at 2x compared to 2.7 turns a year ago. Compared to Q4, financial leverage is flat as affected by a reduced adjusted EBITDA compared to Q1 last year, and the immediate currency impact on debt. This KPI excludes the impact of IFRS 16-related lease debt on both net debt and adjusted EBITDA. Deleveraging continues to remain a focus area for Sinch, and we expect this ratio to continue to decline through underlying cash flow generation from operations and increase in adjusted EBITDA. Inorganic growth through M&A continues to remain a strategic imperative for Sinch, and the increased headroom made available may be used for creative acquisitions. Please turn to page 23, where we give details on our debt portfolio. We had cash and cash equivalents of SEK 756 million at quarter end in addition to the unutilized credit facilities of SEK 5.7 billion. We maintain an ongoing assessment of our financing options and remain open to the possibility of redeeming or refinancing all our part of the 2024 maturities if it aligns with Sinch's financial interests. It is important to note that we expect to continue deleveraging, and because of that, we are cautious not to overextend our drawn gross debt. Any refinancing decision will be made with a balance between optimizing our capital structure and maintaining a prudent level of debt. On page 24, we are reiterating our financial targets. Adjusted EBITDA per share measured on a rolling 12-month basis grew 12% at the end of the quarter compared to our target to grow 20% per year. Our change in operating model and growth plan is intended to accelerate growth and thereby achieve margin expansion. Laurinda will provide an update on the progress in this area shortly. Net debt over adjusted EBITDA at two turns, excluding if IFRS 16-related leases, is well below our threshold of 3.5 turns, and we expect to continue to deleverage. With those words, I would like to hand back to Laurinda to take us through the growth acceleration plan for Sinch.
Laurinda Pang: Terrific. Thank you, Roshan. Please turn to slide 26. As demonstrated throughout 2023, we stabilized our margins, we delivered strong cash flow, and we reduced leverage significantly. We continued those trends in the first quarter. Reigniting our growth with improved profitability is the key objective of the transformation work we are now undertaking. The work in the first quarter around our journey has continued at pace. Next slide, please. Last time we spoke, we shared this high-level timeline for investments and returns, describing a self-funding transformation agenda. In the first quarter, we spent SEK 67 million in integration and restructuring, and we are well on pace to achieving our run rate OpEx savings target of SEK 300 million by the end of 2024. As a reminder, this is a gross number, and we expect to strategically reinvest this back into business. So, how are we progressing tactically? Slide 28 depicts a running tally of our work plan. So, this slide depicts a running tally of our work, some of which are specific deliverables we have achieved in the quarter, while others are longer-term bodies of work that will span quarters. When approaching a go-to-market transformation, we must first build the foundation, enable our sales and customer-facing teams, and then ultimately, our customers will reap the benefits. In the first quarter, we progressed well in building the foundation by creating playbooks and templates for the sales team. With new customer dashboards being released, we are giving our salespeople greater visibility for how customers are using our products. The next step here is joint account planning, which is now underway in Q2. Product integration is the second part of our growth acceleration plan, and you heard Sean elaborate in some depth what that involves as regards to our applications offering. During Q1, work was completed around product strategy and product taxonomy. This body of work also resulted in the updated financial reporting that you see in today's material. Next up is Sinch ID, a unified customer identity system that enables customers to use the same credentials when they consume different parts of our offerings. This is especially important for our self-service products, where we need to deliver a frictionless customer experience to drive product-led growth. Within operational excellence, we have worked to define our target operating model for our business support functions after transitioning to our new organization. Work continues in both HR, finance, and elsewhere to detail out and implement the new model. The timelines here are also dependent on the work to harmonize our systems landscape for CRM, HRAS, and ERP. Before we open for Q&A, I want to pause for a moment to summarize the key takeaways from today's results. In Q1, we took concrete steps in our transformation as we began to execute on our growth acceleration plan. You have seen us transition to new reporting and action the efficiency measures we outlined in Q4. We grew gross profit by 3% overall, in line with our near-term expectations, despite headwinds in our network connectivity offering. Our API platform and applications offerings each show healthy organic growth at 11% and 8%, respectively. And together, these two categories now make up 80% of our overall gross profit. Importantly, we again delivered strong cash flow. Operating cash flow reached SEK 553 million in Q1 alone, and a full SEK 2.1 billion over the last 12 months. Cash conversion from adjusted EBITDA is 42%, measured on a rolling 12-month basis, which is within our targeted range. We are executing our plan, and we are tracking our delivery. With those closing remarks, we are ready to take your questions, please.
Operator: [Operator Instructions] The next question comes from Laura Metayer from Morgan Stanley. Please go ahead.
Laura Metayer: Good afternoon. Thank you for taking my questions. Two questions, please, the first one is on the network connectivity segment performance. So, I think you mentioned that there were some price increases by U.S. operators that you were not able to pass through to customers. Do you mind giving us a little bit more details on this? How long are the fixed price contracts for? When are they up for renewals? Do you think you can pass on the price increases to customers when they are up for renewals and help us think about the growth in this segment for the next two quarters and how it compares to the growth in previous quarters for network connectivity? And the second question is on the EBITDA margin. So, if we look at the EBITDA margin as a percent of gross profit, I believe it's down a little bit year-on-year, even if we exclude the non-recurring item. Do you mind just giving us a little bit more details on what drove that, please? Thank you.
Laurinda Pang: Sure. Thank you, Laura. I appreciate it. So, on network connectivity, very specifically, we had an incremental year-over-year increase of about SEK 35 million from other carriers increasing their cost to us. So, these are connectivity costs for legacy infrastructure on their side. And as Roshan mentioned, this is really their attempt and opportunity to try to migrate more and more customers away from their legacy infrastructure. The good news for Sinch is we have been migrating to IP for some time now. And so, we are looking to accelerate that. That's the first piece. The second piece is relative to negotiating with these service providers. That is another opportunity for us to mitigate these costs. And then the third piece, as you talk about, is how do we share these increases with our customers? The contracts on the voice side are different than how we manage our contracts on the SMS side. The SMS side, we have much more elasticity and variability in pricing structure. So, we have built into our contracts the ability to move pricing rather quickly. That is not true here on the voice side. There are some customers who continue to be in contract for a little bit of time. So, we've not given a time span in terms of how long those contracts last. Having said that, our focus is on managing network connectivity overall for profitability and optimizing cash generation from that part of the business. Roshan, do you want to take the EBITDA margin compared to gross profit?
Roshan Saldanha: Yes, I can do that. Maybe just on the first question, Laura, just to add a little bit, this is new from Q1. These cost increases, of course, the trend has been going on. But I think the specific amounts that we're calling out are new from Q1. And I think it's going to remain for the rest of the year. As I said in my comments, the 8YY toll-free reform impact will reduce in the second-half of the year and basically end from the Q4 onward. So, all else equal, that will contribute positively to growth in the network connectivity product category. And then, turning to your second question on EBITDA margin as a percentage of gross profit, as I said in my previous commentary, we have a large transformation program that we are investing in. When you adjust for the one-off, which you already did in your question, we have a large transformation program that we are investing in. To fund or self-fund this transformation program, we have initiated and identified and initiated cost savings to the 300 million which will be realized through 2024, and we will reach the full run rate by the end of 2024. But there is a bit of timing impact there in terms of when the spend has begun and when the savings are realized in the P&L. Back to you, operator.
Laura Metayer: Thank you.
Operator: The next question comes from Akhil Dattani from J.P. Morgan. Please go ahead.
Akhil Dattani: Yes, hi. Good afternoon. Thanks for taking the questions. I've got a couple, please, if I can. The first one is just to better understand the revenue versus growth profit trends in Q1. Just mindful the gap's a bit bigger than it typically is, and I just wanted to better understand that. I think you were quite clear on networks why the gross profit trend was softer than at the revenue side. But I guess I was trying to understand the disconnect at the API platform disclosure. It looks like revenues are down 3%, but gross profits up 7%. So, maybe if you could help us understand why the trends there are so disconnected. That's the first one. The second one is around the bigger-picture transition that you've talked about. Sean talked a lot about the product innovations and tech integrations and things that you're working through. And, Laurinda, in your press release, you've been quite clear that you have obviously much greater growth ambitions than obviously, your current delivering. I guess I'm just trying to understand how we see the journey to get there. Are there specific KPIs we should be tracking in terms of helping us understand? What are the key metrics and drivers of what driving that turnaround? And I know it's hard to really comment, but what do you think is the timeline to start to see better growth delivering across the business? And then, the last one was just a follow-up to a comment Roshan made around M&A. He said that obviously, accretive M&A is still a target and still an area of interest. I guess I'd just be keen to understand exactly what is meant by that. Is it scale acquisitions? Is it product innovation acquisitions? What are you really looking at as areas where you might be open to M&A? Thanks a lot.
Laurinda Pang: Okay. Thank you, Akhil. All right, I think I've got all of them down, so we will tag team this with you. So, relative to the revenue versus gross profit trends in the API platform, first of all, understand what is in the API platform, right? So, you have messaging API. You also have email API as well as verification. And so, there are certainly higher profits outside of SMS. So, as we saw revenue grow in both verification and email, that improves the gross margins and the gross profit within the API platform. I think that is at the very highest of levels the answer to your question. Roshan, do you want to add?
Roshan Saldanha: Yes. Maybe just a quick add on the first question, Akil. I think it's relevant to consider gross margin for the API platform area is relatively flat since Q3. And so, it's more about mixed effects. Specifically, in EMEA, we have talked about walking away from lower margin fixed price contracts, and that is also affecting API platform area, just a couple of clarifications.
Laurinda Pang: Yes. Thank you. Second, with regards to growth ambitions, and Sean rightfully calls out some exciting progress with regards to the applications product suites that are already growing at a very impressive rate, but that we're looking to accelerate, go forward by integrating them and becoming and allowing our customers to be able to leverage all of those different capabilities across the application. So, connecting those together to allow a cross-sell take place. Lots of this particular business are in either the small to mid-market size customers, and we see a lot of potential with regards to continuing to grow that part of the market. And by the way, we see that globally. That's not just a regional comment. We do see that across each of the three regions. And in terms of the other part of the go-to-market transformation, as we think about the large enterprise segments, that's where a lot of the activity around the commercial integration in the field is taking place, where you heard me talk a bit about creating a foundation to start with and then enabling our salespeople. That does take time, as you rightfully are hinting towards. And so, the foundation is starting to be built. We're leveraging templates, user guides, starting to train salespeople across different product platforms so that they can have the appropriate conversations to identify opportunities with these larger customers. That enablement is, like I said, is happening as we speak. The reality is with these large enterprise customers, the sales cycle is a bit longer. And then, when there is a deal that is signed, then it does take a bit longer to start to see the revenue and ultimately the gross profit start to flow through. So, I do think that as you look at us, we will start to show progress more so on the application side, because those are easier to turn up. They're a faster sales cycle. And by nature of the product itself, it's just easier for the customer to consume. And then, final, Sean, I beg your pardon, do you want to add anything to that?
Sean O'Neal: No, I think that's all right, Laurinda. And the big opportunity here is to have the product architecture itself more and more take on what we call a product-led growth motion, where we're leveraging AI more effectively, we're leveraging automation more effectively, and we're using the product features to continually decrease the friction between the customer and their use of the product. And so, we've got a number of proven models within the applications portfolio today that are scaling very nicely, that we're now propagating out across the broader portfolio.
Laurinda Pang: Thank you. And then, Akhil, I think you had a last question with regards to M&A and how we'll look for selective, accretive M&A. I'll let Roshan follow up, since I think you directed it to him.
Roshan Saldanha: Thanks, Laurinda. So yes, I mean, obviously, from a product standpoint, and working closely with Sean here, we don't believe that we have very large gaps. There might be opportunities always to do small, complementary product acquisitions. But I think our journey, as Sean outlined, is much more about bringing our product portfolio together and making it easier for consumers to consume our products, rather than large acquisitions in that area. So, I think if you talk about the two categories that we've usually placed our acquisitions in, in terms of consolidation scale versus product, it's more in the former category that we would be looking for accretive acquisitions in the future.
Akhil Dattani: Great, thanks so much.
Operator: The next question comes from Daniel Thorsson from ABG Sundal Collier. Please go ahead.
Daniel Thorsson: Yes, thank you very much. I have two questions. The first one is on the overall growth rate here, or organic growth rate in gross profit. If we look at the second-half of the year with RCS availability on iPhone, which I've talked about before, combined with easier comps due to the 8YY effect in network connectivity, which I assume will ease or disappear totally from Q3, isn't H224 poised to show significantly better organic growth rates than we are currently seeing? Or am I missing any other obvious growth headwinds that you see may occur then, which is not visible here in Q1? That's the first one.
Laurinda Pang: Okay. Do you want to give us the second one, Daniel?
Daniel Thorsson: Yes, sure. That's more regional-based. Here you're growing in Americas and APAC this quarter and only show a decline in EMEA, if you look at gross profit level. What type of customers are you declining in the EMEA region now, and also, what kind of sub-regions, for example, if you can mention those effects. Thanks.
Laurinda Pang: Great. Thank you. Okay. So, with regards to the second-half growth rate, I think you call out RCS very specifically. I would caution you about thinking about RCS as a large growth sector in the second-half. There are a number of things that have to happen there, as we've shared, right? So, the reason why we're so bullish on it is there's certainly a couple of market-driven changes, not the least of which is the fact that Apple has agreed that they are going to be using RCS. Now, they have not come out fully yet to explain how. We happen to have a belief system that it will be in business messaging side, but the timing around that is really in the third quarter. So, that's when they will enable their handsets, but it will be based off of a new iOS. So, all of that needs to be updated throughout all of the handsets, so proliferated throughout the hardware themselves. So, that's one aspect. The other aspect within RCS is, as you know, this is almost -- as Sean likes to say, this is the renaissance of SMS, right? So, it really is a fantastic evolution of SMS. We don't yet know exactly how it's going to be priced. However, at this point in time, we are seeing it to be priced at a premium. So, we are very excited about it, but you should not think about material uplift in the second-half of this year. That's the first thing. The other piece is on the network connectivity side, to your point, 8YY goes away in the fourth quarter. Part of the third quarter will see an improvement, but it doesn't go away fully until the fourth quarter. But as we mentioned, we do have these incremental network costs of 35 million that we saw in the first quarter, and we expect that to continue for the rest of this year. So, that's how I would characterize the second-half. On your regional question, with regards to EMEA and the customers very specifically, Roshan, do you want to talk a little bit about stepping away from these fixed contracts?
Roshan Saldanha: Sure. I think if you take a step back, firstly, before we get into that, Daniel, and thanks for the question. I think we have quite many large vendors in the EMEA region and large enterprise customers. If you take us back a couple of years, especially in the messaging area, these customers drove large volumes to us and grew well organically. What we've seen in the last 12 to 18-month period is, due to the upper economic environment, that the volume growth has definitely stagnated in this segment, and that is not new for this quarter. When it comes to the fixed price contracts that we referred to earlier, this is basically a factor of us re-evaluating our thresholds for economic return and capital intensiveness, and some of the contracts that we've had earlier do not meet those thresholds anymore, and hence, we have decided to exit them. But these are business models that we continue to apply as long as they meet our requirements, even going forward.
Daniel Thorsson: Okay. Thanks a lot.
Operator: The next question comes from Fredrik Lithell from Handelsbanken. Please go ahead.
Fredrik Lithell: Thank you, and thank you for taking my questions as well, Laurinda and Roshan. Hi to you all. Just to follow up on this discussion around EMEA and these contracts you walked away from, I'm curious to understand if these were processes that have been running for a longer time, where you have evaluated this, or if this is something that has showed up in a shorter period of time? And consequently, then also, do you have more of these fixed price contracts that, by today, are meeting your standards but might be at risk? That would be the first question. And the second one would be your integration costs that you talk about that is going to be 300 million. You have changed the way you view your internal part of integration costs that now are not part of that anymore. So, have you increased the external part of integration costs, or how should we view that? Thank you.
Laurinda Pang: Hi, Fredrik. Thank you very much. I'm going to actually ask Roshan to cover both of those.
Roshan Saldanha: Okay. Hi, Fredrik.
Fredrik Lithell: Hi.
Roshan Saldanha: So, I think on the first question, these fixed price contracts primarily within the messaging area, it's something that the company has been doing since the company was founded, essentially. So, they've been around for a long time, and they will -- with all intent and purpose, continue to be around. So, I think it's more us in the new economic environment, higher cost of capital, raising our expectations and thresholds. And as a result of that, some of the contracts don't meet those. I can't comment how that might turn out for future renewals right now. I just don't know. So, I think that's something we will continue to evaluate. On the second question, on integration costs, yes, I mean, as we commented in the report, we don't have any internal time or variously internal time on integration cost anymore and it's mostly external. I think it's also a shift in terms of what we are doing within integration with Laurinda's increased focus on holistic integration and the change in the operating model. We're not simply focusing on migrating platforms or customers, but rather taking a holistic view and integrating our processes related to, for example, CRM, data, finance, HR, et cetera, including then the underlying systems. And that does mean more external spend. What we said already in Q4, and we reiterated that today, is that we expect these total IT initiatives to cost around SEK 350 million over a three-year period. Total integration and restructuring costs during 2024 were quantified at SEK 300 million. We will expect to reach savings at an annualized run rate of SEK 300 million by the end of this year to self-fund these investments.
Fredrik Lithell: All right. But I just want to understand, if I may, you're right there under the section operating expenses that as a consequence of this shift, internal time previously classified as integration work is no longer reported as integration. Does that mean that that is not part of the SEK 300 million you assume for the year, internal time?
Roshan Saldanha: Yes, that's correct.
Fredrik Lithell: Okay. Thank you.
Laurinda Pang: Thank you, Frederik. We just have a few more minutes, time for one more question.
Operator: The next question comes from Stefan Gauffin from DNB. Please go ahead.
Stefan Gauffin: Yes. Perhaps I could just follow up a little bit on the EMEA region, because that's, at least compared to my estimates, where the large deviations were. So, just to understand a little bit why such a weak performance, is this only exiting the fixed volume contract, so part of your own decision? Or are you losing market share? Is this macro-driven, etcetera? Just if you could provide some more details around this. And then, you mentioned that the 3% organic gross profit growth is in line with the near-term expectations, but well below your longer-term aspirations. And I saw in an article that is on direct that you guide or you comment that the 3% organic gross profit growth should be valid for Q2 and the remainder of the year. But could you talk a bit on what your longer-term aspirations are for your business? Thank you.
Laurinda Pang: Hi, Stefan. Thank you. On EMEA, I think it's important to, first of all, call out the fact that on the application side, we actually have some quite strong growth. Applications for its profit grew 10% year-over-year on a recorded basis. And so, it is very consistent, actually, with the trends that we see in applications across the globe. On the messaging side, we do note the fixed contracts, but then we also have large global senders that we support out of the EMEA business. And we've talked about the slowdown from large global senders before. So, I would characterize it in really those three buckets. As far as the longer-term aspirations, we get this question a lot with regards to what's the size of market and what does Sinch believe it can achieve? I think the size of the market depends on what research analyst you're looking at. But as we think about the addressable market for Sinch, it's certainly on my aspiration to be able to grow beyond whatever market is. And we're in the process of sizing that for ourselves currently.
Stefan Gauffin: Okay. Thank you very much.
Laurinda Pang: Thank you, Stefan.
Operator: There are no more questions at this time. So, I hand the conference back to the speakers for any closing comments.
Laurinda Pang: Thank you very much, everyone. We very much appreciate you hanging in there with us during all of our technical difficulties today. Thank you for your interest in Sinch. As I started off the call, we are pleased with our execution in first quarter. The results met our expectations, and so I'm comfortable with our performance. And we look forward to updating you again next quarter. Thank you.